Operator: Good day ladies and gentlemen and thank you for standing by. Welcome to the Ameresco, Inc. Second Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mrs. Leila Dillon, Senior Vice President, Marketing and Communications. Mrs. Dillon, you may begin.
Leila Dillon: Thank you, Catherine and good afternoon everyone. We appreciate you joining us for today’s call. Joining me here are George Sakellaris, Ameresco’s Chairman, President, and Chief Executive Officer; Doran Hole, Executive Vice President and Chief Financial Officer; and Mark Chiplock, Senior Vice President and Chief Accounting Officer. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. Today’s earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today’s earnings materials, the Safe Harbor language on slide two, and our SEC filings for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental financial information. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila and good afternoon everyone. We had another solid quarter and I’m particularly pleased that our positive momentum continued with the strong growth in project backlog and assets in development, supporting both our 2023 guidance and our longer-term financial targets. Second quarter revenue was well above our guidance and adjusted EBITDA was at the higher end of our range. Importantly, we ended the quarter with a record total project backlog of $3.2 billion, which was up 9% sequentially. During the quarter we added $493 million of new project awards, bringing the total adds for the first half of the year to almost $1 billion. This growth is even more impressive as we now have surpassed the total backlog reached when we signed the almost $1 billion SCE battery contracts at the end of 2021. We also added 113 megawatts of assets in development in the second quarter, which is the largest amount added in a single quarter in our company’s history. This represents an impressive 26% sequential growth in assets in development, which we expect will provide substantial EBITDA contributions for many years, once brought into operation. Together, our project and asset wins continue to add to our multi-year visibility of profitable revenues, while supporting our confidence in Ameresco’s long-term growth. Large battery energy storage contract wins represented a major component of this quarter’s growth in both our project backlog and assets in development. In our supplemental slides, you will see that battery assets now comprise 41% of our assets in development compared to under 5% of our existing operating assets. Large battery storage systems are a critical component in the replacement of fossil fuel generated electricity, playing a key role in the storage of renewable energy during times of peak production. Batteries, most importantly, make the electric grid far more resilient and flexible, quickly providing power when needed due to high demand, weather-related events and a number of other unplanned outages. These factors are driving tremendous growth in battery storage, supported by the mass commercialization of battery technologies, which has helped to drive down costs. In the United States, the Inflation Reduction Act has been a significant catalyst for the rapid adoption of this technology. Before the passage of the IRA, federal tax credits were only available for battery storage when it was paired with a renewable generation technology, such as solar or wind. Now, under the IRA, and similar incentives in Canada, standalone battery storage systems will be eligible for a 30% or greater investment tax credit, significantly enhancing the value proposition of these systems for our customers, thus driving greater adoption. While the ITC is helpful here in North America, we are also proposing and winning stand-alone battery projects in Europe where the need is just as great. Given our deep technical knowledge, engineering expertise, and supplier relationships, Ameresco has become a recognized leader in the implementation of battery systems. From the transformational Southern California Edison projects to the recently announced, United Power, Middle River Power, and Atura Power Joint Venture wins, Ameresco’s expertise and financially flexible business model allows us to drive both battery project and asset opportunities for many years to come. Another very positive long-term development for Ameresco which occurred during the quarter was the EPA’s ruling concerning the Renewable Fuel Standard targets for 2023 through 2025. In its final ruling, the EPA significantly increased the volume obligations for RNG. This ruling had an immediate impact on the price of the D3 RINs, which we generate from our RNG operations, and prices quickly moved from the low $2 range to above $3. As importantly, the EPA also changed how they calculate the RNG industry average rate of growth which could support volume calculations even beyond the three year period of this ruling. We were very pleased with the ruling which increases our long-term visibility into this important line of business. Additionally, we are anticipating the forthcoming guidance from the EPA on eRINs, which could also provide a tailwind to our existing biogas to electricity projects. Before turning the call over to Doran, I want to highlight the publication of our third annual ESG report entitled "Doing Well by Doing Good - Transformation and Purpose". We are very proud of the fact that our operations have had a significant positive impact on the global environment as our renewable energy assets and customer projects combined have delivered a cumulative carbon emission reduction of over 95 million metric tons since going public in 2010. Our ongoing asset and project growth will continue to drive this important number even higher. Looking ahead, we have also set a target of achieving net zero from our internal operations for both Scope 1 and Scope 2 emissions by 2040. In support of this target, we have pledged to establish emissions reduction targets through the Science-Based Targets initiative by 2025. I will now turn the call over to Doran to comment on our financial performance and outlook. Doran?
Doran Hole: Thank you, George and good afternoon everyone. For additional financial information, please refer to the press release and supplemental slides that were posted to our website after the market closed today. Total second quarter revenue was $327.1 million, about $37 million above the midpoint of our guidance with faster-than-expected execution on certain projects. Energy Asset revenue grew 17%, largely based on the increased number of operating assets year over year, while our O&M business delivered another solid quarter with 9% growth. In addition, our other line of business was up 4%, driven by increased demand for our utility, SaaS, and consulting businesses. Gross margin expanded to 17.9%, as the lower margin SoCal Ed contract declined as a percentage of our total revenue. We generated adjusted EBITDA of $37.4 million in the quarter, at the higher end of our guidance range. We ended the quarter with approximately $49 million of unrestricted cash, while executing on a record $285 million in financing activity. As George mentioned, we ended the quarter with a record total project backlog of $3.2 billion, a 9% sequential increase, as we added nearly $0.5 billion in new project awards during the quarter. Our energy asset visibility is approximately $2.3 billion, an operating asset revenue backlog metric that includes both contracted revenue as well as a conservative estimate of lifetime uncontracted RNG revenues. These metrics, together with our O&M backlog, give Ameresco visibility to over $6.7 billion of future revenue. This metric does not include any contribution from the 545 megawatts of energy assets in development and construction. As George mentioned, we experienced record adds of 113 megawatts during the quarter and our assets in development and construction remain well above our current operating energy assets, giving us additional visibility into our long-term growth. The timing of placing these assets into operation can be anywhere from under a year for small more simple assets to four plus years for more complex assets such as RNG facilities. Listeners will remember that an asset has to meet very strict criteria to be included in this metric, which is much stricter than what most companies consider a pipeline. Historically, approximately 90%+ of our energy assets in development and construction are placed into service and either carried on our balance sheet as an operating asset, primarily with non-recourse financing or monetized through a sale to a third-party. With the changing interest rate environment, we have been fielding many questions on the impact of increasing interest rates on our Energy Asset business and our expectations for how this business might evolve. As many of you are aware, we use a risk-adjusted levered internal rate of return as a key metric when evaluating energy asset opportunities. We continue to target a mid-teens risk-adjusted levered IRR on our assets. We have been able to achieve this high yield in the solar and battery space by carefully selecting assets that are with repeat or new customers that value our flexible financing approach, vertical integration, and technical expertise, which means we are not always competing solely on price. Or because we are developing larger more technically complex assets, such as RNG, where Ameresco’s 20+ years in the market give us a significant advantage in winning and executing on the opportunities. We are experiencing a meaningful increase in asset development opportunities including some assets that may not meet our risk-adjusted return targets, or meaningfully contribute to our net income. That being said, they are still high-quality assets, and we can therefore generate value for Ameresco by developing and selling them to third-parties with lower yield targets. In this case we recycle capital and earn a profit through an EPC contract where the assets, convert to projects upon a sale. We will also look to extract additional value by bundling these converted projects with an O&M contract. Even with maintaining our historic mid-teens IRR hurdle rates, we believe there are ample opportunities to continue to grow our owned assets on average by approximately 20% per year, a growth target we’ve discussed before, while selectively monetizing our origination efforts in other ways. This strategy isn’t new to Ameresco, but in the current environment, it may become more prominent. In the end, we believe that our flexible corporate model with both Project and Asset business lines allows us to continue to benefit from the rapid growth of renewables by developing assets which continue to hit our mid-teens IRR target mentioned earlier or developing and selling as a profitable project. Moving back to our operating assets, these assets are funded by fixed or hedged debt, therefore rising interest rates have little to no meaningful impact on this part of our business. Thus, even in an increasing interest rate environment, the flexibility of Ameresco’s business model and our opportunistic approach to the asset business should allow us to continue to benefit from the tremendous demand for renewable energy solutions. We are pleased to reaffirm our 2023 guidance, which anticipates adjusted EBITDA growth of 5% at the midpoint, noteworthy considering the difficult year-on-year comparisons associated with the wind down and completion of the large SCE projects. We have also provided a more detailed mix of our expected Q3 and Q4 results in the press release. We continue to expect to place between 80 and 100 megawatts of energy assets in service in 2023 including two RNG plants. A third plant we originally anticipated to be placed in service in 2023 is expected to be at mechanical completion by the end of the year, and fully commissioned in Q1 2024. Several additional RNG assets are in the late stages of development and construction, and we continue to expect that four or five of these will come online during 2024. Now I’d like to turn the call back over to George for closing comments.
George Sakellaris: Thank you, Doran. As we have discussed in detail during this call, we have continued to extend our long-term line of sight to significant growth ending the second quarter with over $6.7 billion in revenue visibility and 545 megawatts of assets in development and construction. Our first half performance, together with our backlog and business development pipeline, supports our confidence in our long-term growth targets. This is an exciting time to be a leading clean tech solution provider and I know we have the technical talent and business acumen to support the energy transition and drive meaningful change. In closing, I would like to once again thank our employees, customers, and stockholders for their continued support. Operator, we would like to open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Hi. Thank you for taking the questions. And thank you, by the way, for granular outlook for the back half. I guess this is a couple of quarters in a row now of faster than expected revenue conversion and so my first question, I'm just trying to kind of reconcile that outlook and the full year. I mean just taking the midpoint of 3Q and 4Q, you'd be at the high end of the full year revenue range. I mean you're kind of implicitly raising the low end of the full year revenue guidance. Am I missing something or is there something that I'm not doing correctly? Or is that correct?
Mark Chiplock: Yes. Hey Noah, it's Mark Chiplock, how it is going, yes. I mean I don't think that we're -- we didn't want to change the overall guidance. I mean, I think we are seeing some better performance on the topline because we have seen some of that acceleration, but we're also seeing a shift in some of our awards and the timing of signing those to contracts. So, yes, I mean it's not a perfect science. I think we're trying to put these ranges together. I think we still expect to be within the original ranges. Could we do better? Sure. But I think we're trying to use the best visibility that we have, particularly on the project stuff to shape Q3 and Q4. I think the good news on the second half of the year with the visibility is that over 90% of that project revenue is coming out of awarded and contracted. So, again, we have good visibility. The timing, as we've talked about in the past, is always kind of the variable that can impact anything from a quarter-to-quarter basis.
Noah Kaye: Yes. And I want to ask about project margins in the quarter. It's a little light. Was that just mix? And the corollary is what drives the improved operating leverage in the back half and a better operating leverage in the back half from a seasonality perspective, I'm just talking about a better than typical improvement in operating leverage, that's here in the guidance.
Mark Chiplock: Yes, I mean if you look at those net income and EBITDA margins, I think the challenge is, again, when you're looking last year, you've got certainly higher revenue, higher net income from the SCE projects. We do the line of business reporting, remember, we're doing an allocation of corporate expenses based on revenue share. And so I think our project margins year-over-year, they were going to decline because of the allocation of those corporate expenses, essentially a large fixed allocation of costs on significantly lower revenue year-over-year. We did see some cost overruns on certain projects in the quarter that had a little bit of an impact on our gross margins, but we are -- we would expect to see margins continue to expand in the second half of the year, certainly as SCE cycles out, and we would expect we'd expect to continue to see the trend of the expanding gross margins throughout the second half of the year.
Noah Kaye: Fantastic. If I could just sneak one more in. That RFS decision, obviously, very positive for RNG assets and I was just curious to what extent the higher RINs we're seeing now factored into the reiteration of the guidance. And there was no impact maybe help us understand would that just be due to hedging or really to kind of conservatism in your assumptions for the back half?
Mark Chiplock: Yes, I think certainly, we're pleased to see the RIN prices coming up, it has some impact kind of in our -- in the second half of our numbers, but I wouldn't call it significant or meaningful. It's -- I mean, we've always kind of tried to carry our assumptions somewhere where the market is going and where we would anticipate the market going. So while it has some benefit, nothing that would nothing that was kind of put us in a position to want to change the guidance that we provided.
George Sakellaris: And you got to remember, that 55% actually, as of today, we are 55% hedged instead of the end of the quarter, actually. So, it's 20, 45% of the future production that can benefit a little bit from the higher prices. But the ones we use in the forecast, it's pretty much a little bit where the market is right now.
Noah Kaye: Very helpful. Thank you.
Operator: Thank you. We have a question from Stephen Gengaro with Stifel. Your line is open.
Stephen Gengaro: Thanks. Good afternoon everybody.
George Sakellaris: Good afternoon Steve.
Stephen Gengaro: So, two for me. The first, when you think about the projects and the bidding activity and the orders and backlog build, any insights into kind of what that pricing environment is like currently? And how we should think about the impact that has on project margins over time?
George Sakellaris: I mean the activity is very, very good and that's why you see our awards and the backlog is developing very, very nicely, which we like to see, and that's why I extended a little bit on my in my discussion. The projects are indeed to get a little bit larger. The margins, if it's an EPC design-build otherwise project, like we said before, they are lower than the performance contracts margins. But on the other hand, they contribute more in the profitability because we usually on the leverage in the company. The other thing that has happened a little bit, and that's why the OpEx is a little bit higher. Since after COVID, we wanted to push the organization, and spend a little bit more money in development in order to develop a good pipeline and capture a good market share. And I'm glad to say that the proposal activity and the win rate is very, very good. So, I would say the environment is good and the last couple of quarters that we had.
Stephen Gengaro: Great. Thanks. And just as a follow-up to that, anything on the order flow flowing out of Europe yet? And just what's the quick update on how your traction is in Europe?
George Sakellaris: This is very, very good. The activity is very well. We have a hard time keeping up with it. And that's why we spend a little bit more dollar. When a company grows, sometimes it's very hard to control our OpEx. But on the other hand, the opportunities are very large. Our Italian group that we acquired, we are very, very pleased with the way they have turned out. They're doing very, very well. In Greece, we have done a couple of projects and I think the likelihood that we will have someone there is very, very good. In the UK, again, there are a few things down the pipeline that are coming along that it's going to help on us a lot. So, the activity over there and Doran spend some time as you might want to say a few words and I've been going back and forth. It's -- I'm pleasantly surprised how active that market is.
Doran Hole: Yes, I think I would only add that it's coming from all technologies. And a lot of the project business, of course, we're getting utility-scale EPC opportunities, and like George said, Greece is looking very strong for us. In the UK, we've come through with some really good wins in advanced technologies that is allowing that business to move beyond traditional energy efficiency into the advanced technologies, just like we've done here in the United States.
Stephen Gengaro: Great. Thank you for the color gentlemen.
Doran Hole: Yes.
Operator: Thank you. And our next question comes from Joseph Osha from Guggenheim. Your line is open.
Joseph Osha: Hi there everybody.
George Sakellaris: Hi.
Joseph Osha: Some questions on this storage business, which is growing so robustly. First, wondering if you can talk a little bit about what it's been like handling cell procurement. I know there were some learnings from SCE, so I'm just wondering if you can update us on how those learnings inform how you're handling the procurement process for all of these new storage products -- projects? And then I do have another question.
Doran Hole: Yes, I'll start with the first one, Joe. So, the procurement, we're continuing to expand our number of relationships with battery suppliers. As you know, that market remains fragmented and so we've got to be very selective when it comes to who our partners are with the integration side of that, the software side of that. It's not just the cells, it's really everything. And so while we took a kind of -- took a close look and did a competitive process when we were putting together the SCE project, given the timeline constraints, we went with who was going to be able to deliver on time. Now, I think it's fair to say we can be more picky and we are running competitive processes more or less in all of the projects that we announced that George talked about in his script. And we're ensuring that our suppliers are stepping up to the plate in terms of pricing, quality, degradation, you name it, schedule, delivery timelines, everything. And I'm excited about the market because there's more and more companies kind of come into the fray. Yes, there is still a limited number of battery cell manufacturers. However, they're continuing to supply more different types of companies. And it's those skillsets in terms of their ability to execute, deliver on time, commission projects, everything soup to nuts, it's not just the batteries.
Joseph Osha: Certainly. Okay. And then I'm actually going to switch my follow-up then in response to that. So, is it fair to say then that as you addition companies like STEM or FlexGen or whoever that then it's their job to go find cells or are you still involved in that procurement process? I just want to understand how exactly this is working now?
Doran Hole: Yes, we're directly involved, I'd be quite honest. I mean some of them like to work with certain manufacturers more than others, but some of them are actually a little bit more flexible like we are and want to get the best solution for the customers. So we remain heavily involved in that process.
Joseph Osha: Okay. Thank you. I'll go back in queue.
George Sakellaris: Thanks Joe.
Operator: Thank you. Our next question is from George Gianarikas from Canaccord Genuity. Your line is open.
George Gianarikas: Hey everyone. Good afternoon and thanks for taking my question. I'd like to ask about your focus on free cash flow generation. I know you've only guided to 2024 EBITDA, but there was a lot of discussion around potentially selling assets or concentrating a little bit more on projects. I'm curious as to whether that becomes more of a focus as we move into 2025 and 2026 and free cash flow?
Doran Hole: So, George, I'll just take a stab at that. My gut reaction was as you look forward past 2024 into 2025 is that there is not a prescriptive strategic move on our part to move toward project revenue and cash flow. We maintain this flexibility when we approach customers. So, if the customers happen to be looking for more project business, that's the direction our company will go for the customer. If they're looking for more asset business, that's the direction we will go. As we said, with the Asset business, we've got a little bit of a regulator here where we can actually monetize the development pipeline and convert those into projects as needed based whether it's on return criteria or the risk adjustments that are part of the determination of the return of criteria, but we're not making a strategic move toward or away from the project business.
George Sakellaris: No, we'll continue to emphasize the project business as much as possible. And I don't know if you saw in terms of the international energy agency in the paper today, they announced that the least cost alternative to net zero is energy efficiency. Number one, clean fuel is energy free. So, we'll continue that. But we try to take advantage of the full spectrum of the clean tech sector and I think that's helping us a lot. And then as far as the asset is concerned, it's selling some of the assets, we are very pleased that we are signing much more than we can chew really. And that's why we will take some that maybe not have the rate of return that we would like to, but somebody else likes it. So, we say, great, we will flip them to them. But no, we're not getting away from the business, actually, we will focus as much as we possibly can.
George Gianarikas: Thanks. And as a follow-up, I'd like to ask about this RNG asset that's moved to being fully commissioned in the first quarter of 2024. You reiterated your four or five that will come online in 2024. Are those in addition to this other one that's been pushed into the first quarter?
Doran Hole: Go ahead. Yes.
George Sakellaris: Listen, what happened on this one? You know originally it is supposed to deliver some of the equipment in April, then it will be June, then it was late July, and we deliver -- it just got delivered. So, that's why some of the projects they move either due to the weather or to delivery schedule. That's what we see in the biggest bottleneck. And then we have some problems with the transformers and electrical switch gear and so on. But at the end of the day, it's what is the RNG business concerned. We've been in it for about 20 years now. And I think the team that we have is the best in the business and we might miss a quarter or two here and there, but overall, we will deliver top quality projects in a timely fashion.
George Gianarikas: Thank you.
Operator: Thank you. We have a question from William Grippin from UBS. Your line is open.
William Grippin: Great. Thank you very much and good evening. My first question here was just wanted to ask how you're thinking about your approach to RIN monetization now just given the final EPA RVO and we have three years of visibility and obviously, pricing has been a lot better. So, how are you thinking about hedging versus open market?
George Sakellaris: I think the strategy that we've been using in the past that hedging 50% of the output then the rest of it in the open market. Now, that we have a three-year visibility, we feel even much better with this strategy. But we're always very optimistic about the RNG market from the beginning because not only the RINs that they have a great value. But in the long-term, I think the voluntary market for renewable natural gas, we have a great place. And we have seen, by the way, the three to five-year contracts that we signed on 50% of the output, the prices are coming up. So, I wouldn't be surprised over the next as we've developed more and more of these RNG facilities that we will not have as much at risk, I would say, down the road. You would see us executing longer term contracts. As long as the economics dictate and every year, by the way, we're doing an analysis for the Board. And we determined very good analysis what will the cost will be for us if we were to hedge more than what we have done in the past. But look, it's a very, very important part of our business line, and we pay a lot of attention to it. We think we develop great assets, we want to maximize the value of those assets.
Doran Hole: Well, sorry, just -- if you want to get micro between now and the end of the year, the sort of dynamics of hedging versus waiting we -- kind of watching the market. We knew that right after the RVO, that came out as we expected. There would be a lot of people going to sell. So, we didn't go straight in to liquidate all of stuff. We'll continue to keep our ear to the ground in terms of production estimates and see what we think is going to happen with the market. We've got our feelers out everywhere in this market and so we'll continue to hedge dynamically and opportunistically for the rest of the year on these 2023 production. And I know that you're relatively new to the coverage. We generally don't go over 90% in the current year, generally speaking, to leave a little bit of gap for production variability.
William Grippin: Got it. And just my follow-up here. Just on the implied fourth quarter earnings ramp in the guidance, that's outside of the range of kind of seasonality that we've seen over the last several years, could you just speak to the drivers of that? Is it really just projects coming online in the fourth quarter that are contributing?
Mark Chiplock: I think a large part of the revenue is a part of some seasonality, but we are -- we have a little bit of a shift on the awarded timing. So, again, I mentioned that we have some real good visibility of revenue coming out of the project backlog between awarded and contracted. But I think some of the timing that we're seeing that's maybe pushing something out from Q3 into Q4 is the time when we anticipate some awards converting to contracts. What I think is important to remember with that is that we're capitalizing on the projects in the award state, we are capitalizing project development costs for that project. As soon as it converts to a contract, there's an immediate pickup in revenue as we move those costs into the construction phase and as part of that cost budget because we -- our revenue is on a percentage completion basis. So, I think Q4 looks a bit heavier than it normally would, part of that is going to be just shifting a couple of words converting the contracts. And then the rest of it is just the visibility we have coming out of our contracted backlog. Obviously, we still need to execute on that, but we feel pretty good based on that visibility.
William Grippin:
Mark Chiplock: Yes.
Operator: Thank you. Our next question comes from Kashy Harrison with Piper Sandler. Your line is open.
Kashy Harrison: Good afternoon and thanks for taking my questions. So, maybe just a follow-up to the last question. Can you maybe -- it sounds like you -- Mark, it sounded like you suggested maybe there was a little bit of the awarded conversion taking a bit longer than you expected, can you speak to maybe what's the driver behind there? And then I have a follow-up question.
Mark Chiplock: Yes, I mean it's a good question because, quite honestly, I think the trend that we're seeing is our awards are actually converting a bit faster, particularly on the design build and so generally, those take anywhere from 12 to 24 months to convert. We're actually seeing it a bit on the lower side. It's just some larger projects that have taken a little bit longer that we see shifting out. It could vary will be that, that pulls back in. But I think in terms of just providing the shaping, we're trying to maintain a little bit of a conservative view in terms of when those will convert, but still give us confidence in being able to achieve the full year numbers.
Kashy Harrison: Got it. Thank you. And my follow-up question is on the RNG side. Can you discuss just the progress on the four, five RNG projects that are expected to come online in 2024, how are those -- how is construction tracking to a relative -- tracking relative to expectations? What's the risk of delays on those four or five projects? And then finally, just in light of the RVO ruling. Can you give us some sensitivities for 2024 from the higher D3 RIN pricing?
Doran Hole: We'll start on the construction progress, the development progress actually feeling very good about the four to five. We're -- as we've talked about, those are in relatively late stages of development or already in construction. And therefore, we have a couple of them that we feel very good about the timelines and the others are moving along in the pace where we expected them to move, right? So, I think we feel pretty good about that piece of it. As with the RIN and the 2024, I think the point here is that we're not selling our 2024 RINs, right? We are watching where that market sits vis-à-vis what we expect production to look like overall across the market. But that falls straight into the category where I talked before about we're keeping our ear to the ground. We're going to see where those numbers come out in terms of the supply what we see finishing in the market and what we see not finishing in the market and then we'll hedge accordingly. But I don't think we're prepared to start providing sensitivities to the overall business as you know we're a very diversified business. RNG is one piece of it. I don't think we're ready to start providing sensitivities on RIN prices for 2024.
Kashy Harrison: Okay, that’s it from me. Thank you.
Doran Hole: Thanks Kashy.
Operator: Thank you. Our next question comes from Julien Dumoulin-Smith with Bank of America. Your line is open.
Julien Dumoulin-Smith: Hey, good afternoon team. Thank you guys very much for the time. Appreciate it. Look, I wanted to follow-up on a couple -- hey, afternoon guys. But just wanted to flag a couple of things. So, on 2023, if we go back to that really quickly. I'm hearing a couple of things from you guys. But first, can we talk about the SCE and just understand the full extent of the impact. The Edison 10-Q had some commentary about some shifting time lines. I just want to make sure we understood, and you guys had kind of a clear definitive view about what that financial impact was? And then also just on 2023 altogether, it sounds like given the 3Q and 4Q dynamic, we started talking about it at the top of the call here, it sounds like you're still on balance, net quite comfortable on 2023 and the reason why you wouldn't raise 2023 is more about a timing issue that things could slip into 1Q. Is that the right interpretation?
Doran Hole: I'll start with SoCal and then maybe kick the other piece to Mark, Julien. As far as SoCal is concerned, because we're a 95%-plus complete with that project, the financial impact of the movement in the substantial completion dates is not anything that we're concerned about for 2023. As you might expect, we're heavily focused on finishing the projects and therefore, we don't have any updates as far as negotiation of open items with SoCal, but the revenue amounts are kind of down to the wire, and we're just in the final commissioning of two out of the three projects, as we mentioned in our disclosure. Mark, maybe I'll throw it to you about the--.
Mark Chiplock: Yes, sure. I think the answer to your question on -- it is, yes, like I feel like we have really good visibility on to the second half of the year with respect to revenue because a large percentage of it is coming from our awarded and contracted backlog -- project backlog. There is still a portion that we still would need to I'll say, book and burn, but it's a relatively small piece. And yes, I think the -- we talk about the projects business can be heavily impacted by timing and so I think some of the awards we anticipate signing in Q4 because the timing shift absolutely. But I think right now, based on the visibility that we have, we're maintaining confidence in the -- in our original estimates for the year.
Julien Dumoulin-Smith: Got it. And then on 2024 itself, I mean, just to understand, I mean, with the mark-to-market increase in the RINs prices, et cetera, I mean -- and the open position that you guys alluded to here earlier, I think 45%. I mean, why not be more constructive on 2024? Again, I get timing issues that clearly seem to be part of this. But can you explain a little bit more of the puts and takes there as to why it would not be overall more constructive? Or again, is this just you guys holding back, if you will, in some respects?
Doran Hole: Julien, I think it's exactly that. I think the full year 2024 guidance will come when we release Q4 in the beginning of the year. That's -- and we'll -- at that point in time, we'll be happy to talk more about it.
Julien Dumoulin-Smith: Got it. But there's no other offsetting or mitigating factor or starting point assumption on the $300 million that one should be aware of, right? I mean, obviously, we're all looking at this higher price. I just want to make sure that we're not missing something about this. It seems like it's $15 million in EBITDA on a dollar move here.
Doran Hole: Yes. Julien, I appreciate your math. We're really just not going to comment on the $300 million. We've had that out there for a long time. I think we're going to leave it and address it at the beginning of next year after we report the full year.
Julien Dumoulin-Smith: All right. Fair enough. All right. Thank you guys very much. I appreciate it.
Operator: Thank you. Our next question comes from Tim Mulrooney with William Blair. Your line is open.
Tim Mulrooney: Yes. Thanks. Most of my questions have been answered at this point. Just stepping back on a bigger picture thing here. I mean I think we've all seen a considerable increase in the dollar value of projects that you're bidding on and winning these days. Just wondering if you could help us understand, is that a reflection more of larger projects being proposed or the reflection of Ameresco purposely targeting larger projects and maybe you wouldn't have been on in the past?
George Sakellaris: I think both a little bad, but the average size of the project were proposing right now, it's almost -- correct me if I'm wrong, that 50% up at size? Yes. So, it's a need because the projects are getting more complex and they incorporate -- involve not only energy efficiency, but solar, battery storage, microgrids, and so on and so forth, they're getting larger and larger. And then, of course, I think the Southern California areas of projects help us a lot. So, you saw we had three good wins on the battery storage side, which is a very good size projects.
Tim Mulrooney: Okay. Thanks George. And can I just as a follow-up, different subject, but can I get your opinion on the state of the M&A environment, your pipeline and your appetite at this point in mid-2023 here?
George Sakellaris: Our appetite continues to be good. We continue to look at them. And we're looking right now in Europe, of course, a little bit more aggressively, but in the United States as well. But they have to be accretive, and we are disciplined. And on the other hand, in order to grow your footprint, especially as you go overseas, much easier to get 30, 50 or 75 or 100 people hired in one at a time. So, as we paid for it, it's worth doing it.
Tim Mulrooney: Got it. Thanks so much.
Operator: Thank you. And our next question comes from Pavel Molchanov with Raymond James. Your line is open.
Pavel Molchanov: Thanks for taking the question. Let me ask about CapEx. If we annualize your CapEx from the first half, the full year figure will be well over $500 million. Is that the way we should be thinking about the math? Or was the CapEx kind of overly front-end loaded?
Doran Hole: Yes, I think, Pavel, it's fair to say that it probably was pretty heavily front-end loaded as we talked about the RNG plants that we have coming in this year and even the one that's going to be mechanically complete by the end of the year, substantial amounts of CapEx already spent on those. And not surprisingly, we've got a tremendous amount of non-recourse financing that we've raised that we talked about in the script as well. So, I don't think it's -- even-steven look at the two halves of the year.
George Sakellaris: No, because of the timing of the implementation, especially of these larger projects, RNG and so on, it just changed than what it was before because in order to get the equipment on time, if you have to put the deposits down much earlier than you would otherwise have to do transformers, all kinds of equipment that you have to make the down payments. So, that's why they are skewed a little bit in the first half of the year.
Pavel Molchanov: Okay. Let me turn to Europe. It was just over a year ago that you guys announced the project in Bristol, which, I guess, in just nominal dollar terms is the largest project in Ameresco's history. Can we just get an update on what year one of that has been like?
George Sakellaris: We are doing work on them. I will say that them approving projects a little bit slower than what we had anticipated, but you will see it picking up considerably next year but the fourth quarter of this year and next year. But we have identified at least -- I think we mentioned it before, $400 million of projects in which we have found the financing associated with them, too. But again, you're dealing with the government, it takes time. But on the other hand, they are very, very happy with us. They have introduced us to several other cities in the UK that they might be interested in doing something similar.
Pavel Molchanov: All right. Thanks very much.
Operator: Thank you. Our next question comes from Christopher Souther from B. Riley. Your line is open.
Christopher Souther: Hey guys. I had a question around the United Power and Middle River Power [Indiscernible] wins, were those reflected in project-win awards for the quarter? I wasn't sure if the press release came out in July and then I just wanted to clarify that those were projects, not assets in development wins, right?
Doran Hole: Sorry, Chris, you mentioned United Power and Middle River?
Christopher Souther: Yes, Middle River.
Doran Hole: Okay. So, United Power is actually an asset, yes. So, that's reflected in the battery piece, you look in the supplemental slides. And then the Middle River is a project.
Christopher Souther: Got it. Okay.
Doran Hole: So, that would be in the project backlog.
Christopher Souther: Okay, makes sense. So, when we're looking at -- it seems like you guys are going to be pursuing kind of some of these larger size, lower IRR candidates, mostly on the storage side, it seems like I'm curious at what stage of development would you guys be looking to sell them? How much capital do you think you'd need for whatever is in the backlog or the development pipeline there for the ones you think that you probably end up selling at some point in construction? And how much of that kind of development pipeline is larger projects that are not necessarily the IRR looking for?
Doran Hole: Yes. So, I don't know that there's a CapEx number that I would put in there for that kind of category. Again, we're going to be relatively opportunistic about this to ensure that we get the right results and what we think has the most value for Ameresco. I would say, optimal point, probably preconstruction, however, as we've also varied from that theme as well in terms of when we would sell that.
George Sakellaris: On the Middle River Power, it's -- we are not buying the batteries, the customer is buying the batteries and it's just a design build that particular project. And that project is pretty much, I would say, will probably start construction in the next couple of months.
Christopher Souther: Okay, very helpful. Congrats guys.
George Sakellaris: Yes. And the United Power, is pretty advanced development.
Operator: Thank you. We have a question from Eric Stine with Craig-Hallum. Your line is open.
Eric Stine: Hi everyone. I'll just sneak one in here at the end here on energy storage. Now that you're -- it looks like you're going to own some of these going forward. Can you just talk about the decision or maybe what you would see as kind of an ideal project just because you've got different value streams from these assets versus some of your other? And maybe multiple value streams versus either selling the power or selling the gas. Anything that you could share along those lines would be great.
Doran Hole: So, I mean, we'll keep it short. We like capacity contracts -- that's really the fuel merchant revenue stream is better for us. We like the fixed capacity contracts. And if we can make the numbers work by virtue of looking at CapEx, looking at transportation implementation speed with which we can get these things underway with a capacity contract, that's a better looking thing for us. We're getting long-term service agreements from our battery manufacturers that help us with managing degradation and/or augmentation. And when you've got a fix long-term capacity contract that really helps keep us comfortable. So, I think that's the ideal.
George Sakellaris: And the return -- good return.
Doran Hole: Obviously, meeting our return hurdles.
Eric Stine: Right. And the return. And so it's not necessarily size. I mean if it checks all the boxes and you've got that the capacity contract, you wouldn't shy away from something just because it's a particular size.
Doran Hole: That's right. I think in our asset and development metric, with solar and in storage or just storage standalone, you're going to see a variety of sizes of projects, right? Some of these -- some of the battery stores that we're buying for our behind the meter solar plus storage is a megawatt or less. And then as you saw from United Power, it's quite a bit larger. So, we're good with the range. It's more about the metrics.
Eric Stine: Got it. Thank you.
Operator: Thank you. We have a follow-up question from Joseph Osha from Guggenheim. Your line is open.
Joseph Osha: Hi thanks. I had a follow-up. We talked a little bit about eRINs and what is or is not going to happen. Depending on what happens, this is going to be a new RIN market. I'm wondering, do you guys think there will be enough of a market to hedge it initially? Or is this basically going to be something where you're just going to kind of monetize them as they become available? I'm just wondering what -- how you think that market is going to evolve, assuming we get what we want at EPA?
Doran Hole: Joe, I think there's a lot of wood to chop there still for the EPA, but our understanding is that those RINs will be RINs. They will be the D3 RINs and that they will be needing to introduce an additional amount of RVO associated with that piece of it. But I don't know necessarily at this stage that they're going to create a separate market for the eRINs versus the D3 RINs. We don't know, we don't. But yes, I don't think we have enough clarity at this point, yes.
George Sakellaris: The only thing that we know that they definitely will do it. They are very serious about it. And as they go more and more, they want to electrify just about everything. And we are in a great, great situation because we have many assets at their landfill gas to electricity. So, it will be a good tailwind for us.
Joseph Osha: And if I -- sorry, go ahead.
George Sakellaris: And they say it will be done sooner than what people think it will be done because some people may say will be late next year or so on, we anticipate it's going to be done much sooner than that.
Joseph Osha: But I guess if I -- what I'm trying to get at, how long after the -- what do you think is the gap between when they announce and when you get an actual functioning market given all of these additional questions?
George Sakellaris: So, what we know right now, it's 2025.
Doran Hole: Yes. Joe, I think that's going to take some time, because they're going to need to align it with the cycle of the calendar.
George Sakellaris: We wouldn't see anything until at least 2025.
Joseph Osha: Okay. Thank you.
Operator: Thank you. This does conclude today's conference call. Thank you for participating. You may now disconnect.